Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to the Birchtech First Quarter 2025 Earnings Conference Call. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions for dial in participants. This conference is being recorded today, May 15, 2025 and the earnings press release accompanying this conference call was issued after the market closed today. On our call today is Birchtech President and CEO, Richard MacPherson; and CFO, Fiona Fitzmaurice. Before we get started, I will read the disclaimer about forward-looking statements. This conference call may contain in addition to historical information. Forward-looking statements that are made pursuant to the Safe Harbor provisions of the U.S Private Securities Litigation Reform Act of 1995, or forward-looking information under applicable Canadian Securities laws regarding Birchtech. Forward-looking statements included, but are not limited to statements that express the company's intensions, beliefs, expectations, strategies, predictions or any other statements relating to its future earnings activities, events or conditions. These statements are based on current expectations as soon as and projections about the company's business based in part or on assumptions made by management. These statements are not guarantees of future performance, and involve risk, uncertainties and assumptions that are difficult to predict. Therefore actual outcomes may and results may differ and are likely to differ materially from what is expressed or forecasted in the forward-looking statements, due to numerous factors discussed from time to time in Birchtech's periodic filings with the U.S Securities and Exchange Commission or Canadian Securities Regulators. In addition, such statements could be affected by risks and uncertainties related to factors beyond the company's control and may cause actual results to differ materially from those in the forward-looking statements. During today's call, the company will discuss adjusted EBITDA, a non-GAAP financial measure. Adjusted EBITDA is presented as a supplemental measure of the company's performance and exclusive of certain items that the company believes do not reflect the core operations of the company. Such non-GAAP measures should not be considered in isolation or as substitute for GAAP financial information. Additionally, the company's definition of these measures may differ from those used by other companies, making comparisons across organizations difficult. And finally, this conference call contains time sensitive information that reflects management's best analysis only as of the date and time of this conference call. The company does not undertake any obligation to publicly update or revise any forward-looking statements to reflect future events, information or circumstances that arise after the date of this conference call. At this time, I'd like to turn the call over to President and CEO, Richard MacPherson. Richard, the floor is yours.
Richard MacPherson: Thank you, operator, and thank you to everyone for joining us today. I'd like to welcome you to our first quarter 2025 financial results conference call. Before diving into our financials for the quarter, it's important to reflect on Birchtech's journey and our mission. Established in 2008 as Midwest Energy Emissions Corp., our initial focus was on developing and commercializing the sorbent enhancement additive or SEA technology. This innovative approach has been instrumental in assisting coal fired power plants across North America to effectively reduce mercury emissions ensuring compliance with environmental regulations for the country. Birchtech's air business built around our patented SEA sorbent technologies utilizes activated carbon and various halides. It was widely adopted across the coal fire power industry due to its effectiveness in capturing mercury emissions. The success of this technology led to widespread adoption, but also infringement as numerous industry players began using our patented process without proper licensing or business supply. And in response since 2019 the company has aggressively defended its patents through legal action securing significant settlements and a landmark $57 million unanimous jury award. We have continued to convert infringing users into long-term licensing and supply partners. Inclusive of enhancements, interest and legal fees, our patent Caldwell Cassady & Curry have requested a final judgment of the court of $160 million, which is currently pending final decision by the court. Recognizing new and evolving environmental challenges, we expanded our activated carbon expertise into water purification with the launch of our new patent pending water treatment technologies. Potable water utilities are a growing market and in need critical need of more effective and affordable solutions. Birchtech's new water business is dedicated to developing specialty activated carbon technologies that remove contaminants from portable water targeting the removal of PFO, PFOS, or forever chemicals. These strategic and highly complementary technologies leverage our industry leading expertise in activated carbons and underscores our commitment to addressing critical environmental issues through affordable and sustainable innovation. Last year, to better reflect our diversified technology portfolio and mission, we rebranded as Birchtech Corp. with a new ticker BCHT. This rebranding aligns with our dedication to provide sustainable and effective solutions for both air and water purification and reinforces our role as a leader in environmental technology. Now turning to the first quarter results. Birchtech's air business drove robust revenues of $3.2 million with a very strong 38.3% gross margin profile. This result albeit a bit -- a slight bit less than last year's Q1 was more profitable primarily due to higher licensing revenues in 2025 which typically carry a higher margins than product sales. We also believe the U.S coal industry has stabilized now and based on news from Washington could even be poised to grow with recent federal government support for clean coal that ensures a longer operational runway for our core air quality business. On April 8, 2025, U.S EPA and President Donald J. Trump's proclamation granted a 2-year exemption to certain coal fired power plants from compliance with the updated mercury air toxic standards. This was introduced under Biden's administration Clean Power Plan 2.0 in 2024. This action allows 47 major coal plant owners and more than 60 plants vital to maintaining grid stability to remain online through at least 2029 without being burdened by recently introduced regulatory add ons. These plants have operated for approximately 10 years under the original MATS framework contributing to improved air quality nationwide. And numerous Birchtech customers were included in those who received exemptions to the Biden administration supplemental regulations and may be able to extend their operations to at least 2029. Other Birchtech utility customers have also recently extended or removed their decommissioning data ensuring their continued operations for a much longer period. We fully support this effort by the current administration as empowering American clean coal and keeping these plants online. Our technologies continue to offer coal plants the best, most effective process to produce maximum power while maintaining a true clean coal approach to power generation with the elimination of mercury emission. The strong validation of our patent rights from major industry leaders which included significant settlements in late '23 and the unanimous jury verdict in early '24 with a final judgment expected in the near-term has supported our steadfast protection of our innovative core technologies. We have continued these efforts in support of our company's growth and to the benefit of our shareholders. Most recently we filed a number of patent infringement lawsuits in the U.S. District Court. Since our litigation efforts commenced in 2019, our primary objective has been to enter into positive mutually beneficial business relationships across the industry. And we have been successful with many of our previous defendants in reaching license and or to buy agreements for the continued use of our highly effective technologies for mercury emissions. To that end in February we secured a non exclusive agreement with a second coal fired utility named as a defendant in the company's recently filed lawsuit. That was from Arizona which was previously announced on July of 2024. Due to confidentiality agreements and ongoing litigation, the specific terms and cash infusion of this agreement cannot be publicly disclosed. But we are happy to have reached a positive business outcome with this utility which has and will continue to benefit from our patented technologies for a number of years to come. Our outreach across the industry to secure similar business agreements continues through ongoing discussions with defendants named in our recent lawsuits. We expect significant upside potential from our successful post trial outreach program, converting adopters of our core technology to licensees and or product supply customers. Since 2020 we've obtained 10 new license agreements with coal fired power utilities with several who converted to direct product supply customers. And as I've mentioned we have an additional dozen more that we're now negotiating with. Looking ahead, given these tailwinds and the current administration support of coal fired power generation, we believe that we're well-positioned to grow our air business revenue to at least $23 million this year and an annual revenue run rate potential given those that are now using the technology of $40 million by the end of 2026. So we launched our water business with the opening of two new testing and consulting laboratory what we call design centers. One located in Grand Forks, North Dakota and the other in State College, Pennsylvania. In these centers led by nationally recognized experts we offer a full service solution for water utilities to deploy smarter, more affordable activated carbon technologies in support of U.S EPAs forthcoming PFAS regulations and to help water utilities meet their ongoing purification needs today. In 2024 the EPA released an estimated $1 billion annual cost over 5 years for the U.S potable water utilities to meet the new PFAS regulations. And this is all further void by recent news out of EPA to implement a series of actions aimed at preventing PFAS people from entering the drinking water systems, showcasing clear support from the Trump Administration to this important issue. Even with our strong regulatory tailwinds aside water utilities are currently facing high expense in remediation costs underlined by a lack of supplier alternatives and rising raw material costs largely from that increased demand for activated carbons. And so the launch of our two new design centers is a significant component in our go-to-market strategy and in addressing the critical concern of affordability and contaminant removal faced by water utilities. These centers and the industry leading capabilities that we will provide are the culmination of significant investment of our expertise and resources that form the foundation of our water division's entrance in clean water technologies. In time we are evaluating both M&A and Greenfield opportunities to obtain a large scale production facility for virgin and reactivated carbons. Given the stronger expected gross margin profile of the water business, we believe these plants will have an extremely quick payoff time and could be creatively financed in any number of ways including several of which that would be non dilutive. In October, we marked our entry as a supplier to the water treatment market with an agreement to purchase up to 2,000 tons of feedstock to be used for treatment of drinking water. This feedstock has the potential to generate an estimated 8 million or more in product sales for Birchtech. This feedstock is to be offered to multiple markets across the U.S including water treatment plants and solution companies, also including engineering firms beginning in the second half of 2025. Taken together, our collective technologies are expected to provide significant recurring revenue streams and exciting monetization opportunities. Utilizing our team's strong expertise and world class knowledge of activated carbons, Birchtech will continue to produce innovative industry leading solutions addressing critical environmental concerns in both areas of air and now water purification. Now looking ahead for our air business, we expect an accelerated pace of revenue, strong positive momentum from our customers under contract and multiple opportunities to scale. Growth is further supported by the stable U.S. coal power market with increased energy demands for coal power coming out of Washington and the stringent state and federal regulations for emissions control. Supported by these tailwinds as noted earlier, our air business alone has the potential to achieve an annualized run rate of at least $40 million by the end of '26 by converting our customer market share from approximately 15% to over 30% by bringing those utilities who are now using our technologies under license or supply agreements. For our water business, alongside the sale of traditional virgin and eventually reactivated carbons, we are focused on developing a superior technology expected to be completed in the second half of 2025 and commercially available between late this year to early 2026. So looking ahead to this year we expect revenues of at least $23 million excluding any potential cash from legal claims in our defense of our IP as well as potential revenues from our water business. I'm incredibly proud of our team's accomplishments and believe there is significant value add potential to come for our shareholders as we expand into the water business. And now with that I'd like to turn the call over to Fiona Fitzmaurice, our Chief Financial Officer to walk through some key financial details from the first quarter of 2025. Fiona?
Fiona Fitzmaurice: Thank you Rick. I will constrain my section to a concise review of the financial results for the first quarter. For a full breakdown of our financial results please view our regulatory filings. Revenues were approximately $3.2 million for both the first quarter of 2025 and 2024. We had a slight decrease in supply revenues, which was offset by an increase in license revenues. Gross profit increased 9.4% to $1.2 million or 38.3% of total revenues in the first quarter of 2025 compared to $1.1 million or 34.8% of total revenues in the same year ago quarter. The improvement in gross margin was primarily attributable to increased licensing revenues in the first quarter of 2025, which typically carry higher margins than product sales. Operating expenses consisted of selling, general and administrative expenses, SG&A and the research and development expenses, R&D, in 2025 and SG&A and in 2024. SG&A expenses were approximately $2.2 million and $3.5 million for the 3 months ended March 31, 2025 and 2024, respectively. Total SG&A expenses decreased in the first 3 months of 2025 compared to the prior year period, as a result of variances in individual categories. Total R&D expenses were approximately $407,000 and nil for the 3 months ended March 31, 2025 and 2024, respectively. R&D expenses relate to research conducted to develop water treatment products utilizing new sorbent technologies and increased in the first 3 months of 2025 compared to the prior year period as the company had not incurred any research related costs during the first 3 months of 2024. Net loss for the first quarter of 2025 improved over the same quarter year at $1.7 million or negative $0.02 per basic and diluted share as compared to a net loss of $2.9 million or negative $0.03 per basic and diluted share in the same year ago quarter. Adjusted EBITDA, a non-GAAP measure, totaled a loss of $1.2 million in the first quarter of 2025 as compared to a loss of $1.5 million in the same year ago quarter. Cash as of March 31, 2025 totaled $3.2 million with no debt as compared to the $3.5 million with no debt as of December 3, 2024. I'd also like to briefly discuss the classification of our profit share liability as a current liability on our balance sheet. This is a nonrecourse liability that will not be repaid from cash on hand and is only to be paid from any potential future proceeds of our $57,million patent infringement verdict from which we requested a $160 million from the court inclusive of enhancements, interest, legal fees, and other items. Under GAAP accounting rules, the profit share liability is classified as a current liability as the company expects the proceeds from this verdict are likely to be received and the profit share from those proceeds repaid over the next 12 months. So ironically, the positive news of us believing receipt of these funds is likely over the next 12 months causes the profit share to be classified as a current liability. This completes my prepared comments. Now before we begin our question-and-answer session, I would like to turn the call back to Rick for some closing remarks. Rick?
Richard MacPherson: Thank you Fiona. Looking ahead, our focus is to protect the validity of our patents in clean air technologies, laying the foundation for our strategic growth into highly innovative water purification technologies currently under development. For our core air business, we expect an accelerating pace of revenue growth, continued IP wins and associated cash receipts and strong positive momentum from our current customers under contract. For our new water business, we see multiple opportunities to scale and as we work to launch in the new term and build the infrastructure to support the future of this business. Taken together, we're on a robust growth trajectory. And I believe are poised to create substantial long-term value for my fellow shareholders for years to come. And with that operator, let's open the line for questions.
Operator: Thank you. We'll now be conducting a question-and-answer session. [Operator Instructions] Our first question is from Rob Brown with Lake Street Capital Markets.
Rob Brown: Good afternoon. Thanks for taking my question. On the airside business, I think you talked about potentially getting up to $40 million in revenue, and that would be, I think, a 30% share of the market. Just what's the sense of the remaining plants out there that are potentially infringing on your patents that you could still kind of talk to what's sort of the universe of opportunity there?
Richard MacPherson: Rob, thanks for the question. So if I take a look at the folks that are using the technology now that are not under contract, other license or supply, and I look at their coal use, that's really where we generate that number from. We should be able to increase over the next year to that $40 million number, just given supply to the folks that are presently infringing that we have a case against. So, I expect the present users will move to us as the litigation moves forward and that would generate a 40 plus million dollar annual supply side.
Rob Brown: Okay. Got it. Great. And then as you sort of move in that direction, is it license or supply? Do you have any sort of preference there? Or is that sort of economically equal to you as you structure the deal?
Richard MacPherson: Yes, Rob, the approach that we've been taking and continue to take as we go forward, we have a number of different defendants in discussions at this point, is for the end user to take a license and pay for the privilege of having that license. And then to provide us with the supply side so that they can operate their system using us as a supplier. And that's the typical approach going forward. So, the license is a one-time fee and our long-term revenue gains come from the supply to the plant over time.
Rob Brown: Okay, got it. Not an either or, but really a both situation. Great. Then the Waterside business, I think you said commercial availability later this year and early next year. It just helps us understand kind of the ramp cycle in that business. Do you need to have kind of the commercial availability first before you work on the sales side or is it sort of in parallel and just how do you think about the ramp in that segment?
Richard MacPherson: Sure. So we've been actively selling into the market for the past 6 months and we'll start to show tangible material contracts early in the second half of 2025. We are servicing the industry through a number of different avenues, not just through the sale of granular activated carbons. Our feedstock contracts should become available in the third quarter, and that will be when things really start to ramp up. But even starting as early as next month or the first month of the second half, we will start announcing revenues in that side of our business. And as I have mentioned previously, we have the capacity at this point to do something in the 8 million range annually. So as soon as our feedstock supply becomes available, we'll start to sell that through. We've not given any guidance yet as to what we expect to do this year, but it would be significant. I expect that we will be announcing multimillion dollar revenue sales in the latter half of 2025, none of which of course at this point is in our guidance.
Rob Brown: Okay, great. Thank you for the color. I will turn it over.
Richard MacPherson: Thank you.
Operator: Thank you. Our next question is from Peter Gastreich, with Water Tower Research.
Peter Gastreich: Thank you. Thanks, Richard, for the presentation and for taking my question. Just want to ask about the EPA drinking water standards, just the news lasted a day or two. For the PFOA and PFOS, are those maximum level standards within your expectation? And for those other three chemicals where the regulations were rescinded, are those even, significant? And then regarding the delays for the compliance from 2029 to 2031. What do you think underpins that delay? Does it mean that the industry needs a better visibility on the availability of supply? And on that note, what role do you think that the voluntary compliance will play for a lot of your customers? Would they want to accelerate faster in 2029 despite the EPA regulations? Just be curious for thoughts there. Thank you very much.
Richard MacPherson: Thank you for that. That's a unique yet complete set of questions. I will do my best to respond. I think the pushback on the regulations was expected. The costs that are facing the industry are huge. The opportunities to meet the new regulations on the initial rollout was difficult. I think there are new technologies like the technologies that we've been developing that will improve the ramp up to market and decrease the overall cost to meet the new regulations. And I think as they come to commercialization, it will make things much more acceptable for the industry as a whole. Our approach is not just focused on PFO, PFOS, but overall we're focusing on being able to improve the efficacy of activated carbon such as those that we've been developing so that the overall cost of potable water will see a significant improvement in attainment. I think as well, however, that a number of different states will be moving forward with the original expected PFO/PFOS regulations on their own. But similar to what happened with the mercury regulations back in the day in 2015 and such, you'll find that there are different states that embrace and meet very strict, if not stricter regulations than what the federal government puts in place. But I think the administration has taken a very wise practical approach by moving the dates out a couple of years. And I think that the industry as a whole will be much better able to meet the regulations without undue expense and harm, especially to the smaller and midsized communities than the original regulations that were proposed. I think the regulations that are proposed now are well within the means to be able to be reached by the country. But I also, as I mentioned, think that new technologies such as the ones that we're hoping to introduce will go a long way in making sure all of the communities and not just the large cities are able to meet these regulations.
Peter Gastreich: Okay, great. Thank you very much, Richard.
Peter Gastreich: You're welcome.
Operator: This concludes our question-and-answer session. I will now hand the call back to Chairman and CEO, Rick MacPherson for his closing remarks.
Richard MacPherson: Well, folks, thanks very much for joining me today. We have some very exciting developments going on with the company. We are looking at building out some significant production facilities. The work is well underway and we hope to be making some announcements in the near future on that. Our approach moving into the water market is focused on improving the water product supply for the industry overall. It will specialize in PFO, PFOS. But one of the exciting things that we've been doing is ramping up our research and development facilities to service the industry, to help them better understand and meet the new regulations as they come down the line. And so our research and service side of our business is actually turning quite rapidly into a profit center. So a lot of things developing, we will be starting to announce commercial material results on the water side in the coming month or month at the latest. And we'll be able to present a profile of a growing company, not only on the air side, but in the water industry as such. So as such, we very much look forward to bringing the news and developments to you in the coming months. And we are planning and ramping up for a move onto the New York exchange in the third quarter of this year. Thank you very much once again, and I look forward to bringing news to the market as it develops in the coming months.
Operator: Ladies and gentlemen, this does conclude today's conference. Thank you for your participation. You may now disconnect your lines.